Richard Davis: [abrupt start] Today I'm joined by Jim Whitehurst, our CEO, and by Luis Fasoso, our CFO. But before we begin, I want to note that today's discussion contains forward-looking statements, including statements about goals, business outlook, industry trends, market opportunities, expectations for future financial performance, and similar items, all of which are subject to risks, uncertainties, and assumptions. You can find more information about these risks and uncertainties in the risk factors section of our filings at sec.gov. Actual results may differ and we take no obligation to revise or update any forward-looking statements. Finally, during today's meeting, we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP. A full reconciliation of GAAP to non-GAAP is available in our shareholder letter and on the sec.gov website. Great. So let me turn the call over to Jim to kind of make some opening comments.
James Whitehurst: All right. Well, thank you. And let me say good afternoon to everyone, and thank you for joining us on today's call. We released our Q3 earnings today, as well as the shareholder letter that describes our results. I assume you've all read that. So let me just highlight three quick points before we get into Q&A. First off, I've been at Unity now for about a month, and I have to say I'm so impressed with the passion, both inside the Company and more broadly in our community. And that is unquestionably a good thing that we elicit so much passion from our community. It shows the level of engagement that we have and the importance of the role of Unity in our community. It's our job now to focus that on the most important task, which is to build a best-in-class platform that helps make creators more successful from start to finish, from design to monetization. Second, the world has changed, and we're changing with it. We've taken some good first steps to bring expenses down, changing Unity from a money losing to a cash flow positive Company in less than a year. That's a good first step, but frankly, we're examining the Company from top to bottom, ensuring that we transform Unity into an even more nimble and focused business. And I'm sure we'll talk more about that. And third, once we position Unity to succeed, we need to accelerate growth. We'll get there by focusing on large growing markets, but most importantly, by doubling, if not tripling down on building amazing technology that helps our customers succeed. If we do that, growth and profitability naturally flow from that. So with that, let me turn the call over to Richard.
Richard Davis: Great. Well, thanks a lot. So maybe what we'll do, which we've done in the past, is we kind of get inbound questions during the quarter and things like that. Maybe we'll kind of hit the two most common questions we often get. We'll start with Jim, and then we'll go to Luis, and then we'll go to open Q&A and things like that. So for Jim, if you kind of step back, what do you see? And I know you've been short term here for a month, but maybe it's fair or not, but what do you see the Company looking like in three to five years? What's your vision?
James Whitehurst: Yeah, sure. And let me start off saying, I had experience in a Company building a business as part of a broad community. So I naturally come back and focus on how we think about community. So if I just put that simply in five years, I want us to be the trusted leader of a community of creators building on our technology. And because of that, we'll be an indispensable partner for game creators to build, operate, and profit from their creations. That alone is hundreds of billions of dollar market. Secondly, our technology, and this is one of the things coming from enterprise I've been so impressed with, is incredibly relevant to enterprises. And so the second piece of that is I'd like to see our technology as the default choice for enterprises and individuals to create and interact with 3D content. Again, that is a tremendous untapped potential as well. And so if we can do those two things, be an independent defensible partner, kind of a leader in helping game developers and being the 3D visualization technology that the world comes to, that's a really exciting business.
Richard Davis: Great. And then Luis, it's addressed to some degree in the shareholder letter, but could you kind of explain some of the key interventions that are being considered? 
Luis Visoso: Sure. Thank you, Richard. we started a comprehensive assessment of our product portfolio several weeks ago, and we're evaluating every product in our portfolio through, I would say, three lenses. First, are we meeting our customer need in a unique way that differentiates us from others? Second, are we able to grow revenue, expand margins, and generate free cash-flow at attractive levels? And third, is the opportunity large enough and sustainable to build a meaningful business over time? And while we're making great progress in this evaluation and planning, it is still early to share more specifics. Now, what you can expect is that we will be making changes to our product portfolio this quarter in Q4, and we expect the full implementation of the changes to be completed by the end of Q1. As Jim said, we're also continuing to adjust our cost structure to improve margins, and this will lead to a reduction in force, a reduction in office locations, which we will be announcing over the next few months. Back to you, Richard. 
Richard Davis: Great, thanks very much. Okay, now we can open it up to Q&A from the analysts. So, Thomas, if you can see the people that are in the queue, and we can drop them in there. Maybe we answered all the good questions. 
Richard Davis: Oh, there we go. Dylan, yeah, Dylan Becker at William Blair. Thank you very much.
Dylan Becker: Awesome. Hey, guys, thanks. Jim, maybe starting with you, I think in the shareholder letter, obviously there's a lot of focus on narrowing scope and the focus here, but looking at it a month in, maybe there's some initiatives underway, but how you're seeing the business relative, again, to maybe some of your past experiences and the opportunity to drive that efficiency that you've done, maybe utilize some of the prior playbook you've seen?
James Whitehurst: Yeah, look, thank you, Dylan. A great question. I want to always be careful, not too much drawing parallels, but frankly, there is a lot of parallel to this, and frankly, when I first got to Red Hat, which is Red Hat had a industry-leading product with Red Hat Enterprise Linux, but was spending a tremendous amount of time doing five or six or seven other things. And it's not just the expense associated with it, it is the management time and attention and more broadly, the clarity of focus throughout the organization that you get from doing fewer things, frankly, where you are winning and have a right to win. And so I do see parallels there, just very, very simply, we're doing a lot of things and we obviously have a leading share product that's growing very nicely. And so, and then there are some extensions off of that, which are actually fit in well with good synergies, but frankly, we're doing a lot of other things. And so one is just, I think there's very similar to Red Hat, let's start off narrowing down, make sure we are on our path to achieving the full potential of our core business before we get too busy doing other things that aren't directly tied to that. And then number two is just sharpening our execution. I think obviously there's a natural evolution of companies where you start off, you get kind of product market fit, you're trying to experiment. And so you're running a lot of experiments around, you're less focused on driving effectiveness and efficiency. And I think we're to the point where market's voted. We got a couple of really leading products, whether that's the engine and runtime, whether that's our core kind of monetization stack. And we need to focus down, put the right KPIs in place, tighten our belts and execute into those things. And as we do that, we have a solid profitable business that we can scale from these leading positions. And so it is a little similar to Red Hat, both in terms of leading product, but doing a bunch of other things and losing focus and just naturally not being at the point until now of really looking to kind of build an efficient and effective operating model around those things. And so I think those are the two big ones that feel very, very similar. Also equally incredibly passionate, brilliant people who are deeply dedicated in a deeply mission-driven Company. And so when you have that, your ability to execute when people are aligned and passionate about what you do is just so much easier. And that definitely shared with Red Hat.
Dylan Becker: Sure, awesome. Okay, helpful color there. And then maybe two, I think you guys called out a lot of the synergies you're seeing within the Grow solution base and the importance of iron source and level play there. But maybe it's a little early to call out from a product perspective too, but you did mention tightening the integration between kind of create and grow, but how you think about that synergistic value coming together across the platform over time? Thanks.
James Whitehurst: Yes, I'll start and Luis if you want to add. So, first off, really working to build an operating model that draws value in both kind of data and then across create and grow, I think we can do a better job of doing that. We've been working on the integration of just kind of people and things, but really building the flywheel there is an area I think we can kind of double down our focus on, which has a lot of value. The other is just, together, those two things are what drives developer, game developer success. And we're still a little bit because we're still in the middle of the integration disjointed and having a single view of our customers. So we can go talk about how we can help them best create value from development all the way through to monetization. And we have kind of those two pieces. And it's just a time to get those kind of fully pulled together to have single view of customer ability to engage and talk about how we can create value across that life cycle with our kind of portfolio of offerings. So there's kind of the operational data-ish, I want to say stuff. And then there's the broader, single view of customer and be able to act that way set of stuff.
Luis Visoso: Yeah, I agree, Jim. And if I were to add something, I would just say this is unique to us, right? We were the only Company has both create and operate or grow businesses. And that's very valuable to us and to our customers. And remember we have over 70% market share on the editor, particularly on mobile. So that gives us a very strong base to build upon.
Richard Davis: And then, yep, Michael Funk at Bank of America.
Michael Funk: Yes, thank you, Richard. And Jim, I really, I appreciate the brass tacks opening letter today as well. But just wondering, you did mention that there was limited impact from the pricing change and bled over into the fourth quarter. What have you been doing to reach out to the game developers and rebuild that trusted relationship with them?
James Whitehurst: Well, a couple of -- obviously I've been talking to a number of them. And it's one of these, I think almost all of them that I've talked to or others that I've talked to in Unity, who've talked to them, start off with game developers who were upset by the first action. Once you actually get people to focus on the next set of things we did, the first thing you hear is like, oh, okay, well that all makes sense. I'm actually good with that. So the changes we then went back and tweaked, I think helped a lot. But honestly, the biggest thing that helps is when we talk about the future feature velocity we're driving. I was talking with someone here who had just met with the game developers, started off very, very negative. But as soon as we started getting into some of the features we're driving, all of a sudden they went from, we don't even want to deal with you, to, ooh, can we be an early beta customer? And can we actually potentially get in there and help draw some feature set into that? That's right what we're trying to do. So I think the most important thing is we can talk, I've been saying this internally at Unity quite a bit, having dealt with communities in the past, we can talk all we want, but our behaviors are what will rebuild trust. And the behaviors are how we make decisions going forward and how we are taking those dollars and reinvesting them efficiently and effectively to build extraordinary product. And so Unite next week, we'll have a number of product launches. And I think really kind of focusing on the value we're delivering, we'll kind of -- get that buzz replacing kind of noise around, well, what are they doing.
Michael Funk: And one more, if I could, I think a lot of investors are wondering about the decision to pull guidance for the year. What was that based on your view of best practices as a new CEO coming in and assessing the business?
Luis Visoso: Well, I'll tell you my view- And that's based on something called the numbers.
James Whitehurst: Yes, no, and a lot of people are grumpy about that. Look, the problem when you are looking to, bluntly wind down or get rid of some businesses, which is part of what we'll do, is the longer you wait to do it, the better your revenue looks in the short run. And I want zero incentive for anybody here to slow anything down. We need to move and we need to move fast. And the faster we move, the better shape we are. So we will plummet all out after the fact for you. You'll know exactly, we'll be completely transparent. But what I don't want to have happen is people say, well, we kind of guided this. And so if we just wait another month before we do that, maybe we don't close that till January 1, instead of November 30, you can make the numbers look better. But I want to emphasize, we got to move fast and we got to be decisive. And we're going to emerge, I will say, I think we're sandbagging when we say by the end of Q1. I'm hoping we can do it a lot faster than that. The faster we can get these things done, the faster we have kind of reset and we are focused, the better. And I want zero incentive for anybody to do anything but that. So it was not a popular move, I can tell you, to say we weren't going to do it. But I think it's better to move fast and then be transparent after the fact. And I promise you, after that, we will be reset. We'll be confident in our numbers and we will provide guidance for Q1 in the year and give you all the color and clarity you want. I just in this period of time, I think it's important that we have no barriers to moving fast.
Richard Davis: And then next is Brian Fitzgerald at Wells.
Brian Fitzgerald: Thanks, guys. I had a couple if I could on UGS letter noted tough year over year comps, just hoping you give sense for how that business form relative to expectations for the quarter and whether there is anything waiting on that part of the business. And maybe second one follow up to that is, can you comment at all on iron source cross sell opportunity and where you think the business stands right now when you say in the shareholder letter that the company is not achieving the selling synergies and that exists across the portfolio? And then thirdly, are we right to assume that that's what you're talking about there or maybe that's where the softness in UGS comes from?
Luis Visoso: Yeah, I think. Go ahead, Jim. Do you want to start?
James Whitehurst: If you want to kind of give performance expectations, I'll give you a sense of what I meant by that not performing across.
Luis Visoso: Yeah, I mean, we don't want to single out any business because we're not ready to share specifics on whether a business is inside or outside of the portfolio choices. But I will address your question. UGS, frankly, we didn't have the quarter we expected on the business. And therefore, I'd be very transparent about that. And we need to continue to drive our business and grow faster. So I'll give you that piece.
James Whitehurst: I'll just say I will use that as an example. When I say that, I actually mean broadly across the portfolio, but I'll pick on UGS. I think UGS has been quite successful selling into gaming. But if you actually look at the correlation between, say, something like multiplayer and Unity made with Unity games, it's actually quite low. And so what I want to make sure that we're doing is win where we have the right to win, which is around our Unity ecosystem. So I'm not saying it's awful revenue to go sell multiplayer and a Unreal-based game. But fundamentally, the place where we have the right to win and should win is things around Unity. And so what I'm looking at across our portfolio is making sure the things that we do are self-reinforcing. The things that we do make Unity games better. And people using Unity make it really, really easy to use our other things and get that flywheel going. So if you look at our correlation between some of our other services in the engine, they're not as tight as I would like to make sure we make it really easy for our dev's to use our things and make our things made with Unity games even better. And that extends across, again, we talked a little bit. We've made progress in integrating Iron Source, but a lot of that's getting the core stuff together. Now, getting the flywheel that we think we can do of the real synergies between the editor and the runtime and the grow business is something we are just getting kicked off. And I'm the type I want to have a weekly meeting on what's the progress, what are we doing, why, when's it going to be done? And we've been more focused on the integration than on really getting the synergy flywheel going. And so that's something we're kicking off in earnest.
Luis Visoso: Yeah, Brian, as we've talked before, what we're seeing is good synergies of grow within grow, Unity and Iron Source. So that's working well. Technologies, capabilities, that data that's growing well. But as Jim is saying, they create to grow is where we need to sharpen the pencil and do a better job going forward.
Richard Davis: Great. And next is Clark Lampen at BTIG.
Clark Lampen: Thanks very much. I've got two, please. Jim, maybe we can start big picture with sort of a view of the engine market. I understand you've only been with Unity for a short period of time. But one of the big questions we get from investors around that piece of the business is how you start to close the gap between really high and fairly dominant developer share and your revenue share at present. Is a variable rate model like runtime really the key to unlocking that upside? Or are there other adjustments that as you look at that business you think need to be made to ensure it can grow?
James Whitehurst: Well, I think there's a lot. And by the way, we haven't even started on the industry side, which I would actually argue is a larger market than the gaming market for us. But we can come back around on that. So first off, the gaming market is a lower margin market. So when you started at one price point and you want to change it, you're obviously going to get some backlash. So the way I'd rather think about it is if you think about development all the way through to operating a game is a hundred billion dollar market, right? We're a very, very, very small, less than 1% share of that. So our ability to do things like whether it's driving to DevOps or automated testing or if you think about other things that a developer shop, especially teams of developers do, thinking about kind of security, thinking about compliance, identity management. There's a whole set of things where we're not raising price on what we're doing, but we are looking at the costs around what someone does when they're working with us. He has a tremendous opportunity on the development side and then obviously on the operate side, continuing to look for places where, frankly, we have a right to win because of the strength of our editor and runtime and our ability to understand what people are doing and how and the uniqueness around that. I think the runtime fee is important for multiple reasons. One is internally to have people recognize there's value in the runtime. And so if nothing else, it makes it much easier internally managerially saying we need to drive more velocity into the runtime and the feature functionality around that. I know you can kind of conceptually say you do it, but it's much easier when there's actually revenue associated with it. And frankly, I think it's easier to explain to customers that you're paying for something, but look at the value and now we can accelerate value around that. So I think making the runtime not like a second order citizen in how we think about monetization is important. I think going forward, thinking about especially on the industry side where run times themselves, whether it's exact runtime or more broadly what that looks like in feature velocity and that, having a price around that and how you think about that as you scale out, I think it's important. So we can get into the specifics around the runtime pricing and kind of what model and what types of games, etc., etc. But I think the concept that the runtime has value and so we have a price on the runtime is healthy all around for how we run the business.
Clark Lampen: Understood. And I guess there's a lot in flux, I guess, as you guys are exploring sort of interventions, as you mentioned in the shareholder letter. One of the things that does seem to be consistent moving forward in terms of focus is AI. I'm curious if you could give us an update on the Muse and Sentis products. How is the closed beta gone so far? When do you think realistically those tools could exit beta? And if you have any thoughts around commercialization that you'd be willing to share on this call, it would be appreciated also. Thanks.
James Whitehurst: Well, my first reaction will be, how about coming to Amsterdam next week to Unite? And you will hear a whole lot about that and kind of the things we're doing more broadly. I mean, honestly, I mean, Luis, if you want to comment, but I think given everything we're saying at Unite, we don't want to kind of front run that here today. So stay tuned and or come join us in Amsterdam.
Luis Visoso: Yeah. The only thing I would say is while Jim didn't say much, you can see in his tone kind of how excited he is. So you can take something away from that. So it's very exciting.
Richard Davis: OK, next is Kash Rangan at Sachs Goldman
Kash Rangan: Hey, I don't know if you can see me, Jim, but...
James Whitehurst: I can see your picture. I can't see you. It's good to hear from you. It's been a while.
Kash Rangan: I know it's been a while. It's been a while. And I don't know what is it that you use to keep your persona exactly unchanged in the past 50 years. You look exactly the same as you did when I first met you. I think it was 2008 when you took over.
James Whitehurst: A good filter on the camera.
Kash Rangan: I know that that definitely helps that I can see that. So clearly a lot to digest coming to the company. One is, what are the chances you would take the job permanently in the next six months or so? It's a tough question, but or maybe it's not a tough, it's a very easy one. And secondly, you hinted at tighter integration and tighter synergies between the create and grow businesses. Can you expand a little bit more on that particular thought and where do we go with that increased synergy and how does it manifest itself?
James Whitehurst: Thank you so much. Yeah. So on the first question, I want to be respectful of the Board, the Board running a process. So, I think as they said, they want to run a process. And so I want to be careful about anything I say, because, if I say I'm a candidate, that kind of screws it up. If I say I'm not, that kind of mess up. So I'm just not saying anything on it. So sorry, Kash. I really just want to respect the Board, the process that they're going through. So I hate to duck a question, but I'm going to duck that one because I'm not willing to answer. But I want to respect the Board, the process they're going through. In terms of more tight integration, like, look, we have a lot of information about how games work and how engagement works. So we start thinking broadly what we're trying to do is help game developers maximize their success. And I know for some that's just great art, but for others it's making money. And that's kind of where the monetization, the ad piece comes in. And we actually think with what we kind of understand about how people play games and the analytics that we already provide to some extent to developers who use our analytics products on how the engine works and how engagement works and how people are using games. We think if we can get a flywheel going with that to do a better job of helping them monetize their ad space. And obviously we profit from that. So we think there's quite a bit there that we can continue to build on. And, we're like literally early, early, early days in that with a long road map of things we're excited about.
Kash Rangan: Awesome. Thank you so much. All the very best.
James Whitehurst: Thank you. It's great to chat. Look forward to meeting you live again soon.
Kash Rangan: Likewise.
Richard Davis: Great. And Josh Tilton at Wolfe.
Joshua Tilton: Amazing. Can you guys hear me? Yeah. I got two, actually. My first one is, can you guys maybe give us a sense or a flavor for what is left to cut at the business? Since I know that we already did some layoffs previously. And maybe how do you like what gives you guys the confidence or how do you guys plan on maintaining that passion internally that you just talked about as you look to become a more leaner business?
James Whitehurst: Well, I'll start there. I came from the airline business, so, very much, kind of focus on making sure that we're kind of operationally optimized. Look, I actually feel like when you actually get efficient and effective and part of that is just building an operating model and organizational structure to support the core business that you're in. You naturally get much more efficient doing that. And so while it is painful in the sense that we will have fewer people, I think the people will hear, will be very inspired by the mission. And what we're going to do is all around kind of our mission and our values. And you get engaged as you see success and profitable and growing. I feel very, very good that, because we come out of this phase, people are going to be both inspired by what we're doing and proud of the success that we're able to generate. Well, it's just a it's a different model to versus saying let's spend a lot and hope revenue ultimately passes that and you make money. It's a little bit more. Let's get efficient, effective and optimize our business and then scale from there. And so, this I'll call it a reset is a bit of that. Like, let's get efficient, effective. Let's build an operating model that fits the businesses we're in. And then the businesses we're in, luckily, have a lot of growth in them. And so we scale from there. So while it's painful in the reset, I think very soon coming out of that, I think people will be able to see we're better able to deliver against our core mission and we're winning.
Luis Visoso: Yes. And on your first question, what I would say is, which was your memory, your question was, how do we keep on finding opportunities to optimize our cost structure? So I would say, number one, we're making different portfolio choices. Right. And as you focus the portfolio, then obviously, as you exit businesses, you can continue to drive efficiencies there. Second thing we're doing is we'll continue to drive synergies between organizations with internally and drive efficiencies across the different teams, looking at spans and layers and levels and everything else. And last, we're taking another very sharp look at G&A and how do we continue to drive G&A so that most of the dollars can drive the products that our customers love and would drive our revenue margins and cash. So that's what we're doing.
Joshua Tilton: And if I could just sneak one more in from an investor perspective, there's been a string of some interesting news releases. Obviously, the decision not to guide next quarter, the full year is another, I guess, piece of interesting news that we have to grapple with. there's still the, there's still the, how do I say this? You're still going to guide for '24 next year, which will be another important catalyst for the stock. I understand that there's a lot of moving pieces and a lot of excitement around opportunities going forward. But is there anything you can just give us in terms of timeline of expectation for when you expect growth to kind of accelerate to maybe help ease investors? I don't know, worries around the lack of, where the numbers are going in the near term?
James Whitehurst: I'll start with some comments and Luis, you're probably better equipped to be able to answer specifically. Well, I think that even as we get into next year, more focused execution generally leads to, success in the marketplace. And so, I'm thinking '24 already just being more focused. You'll see kind of improved growth performance. And then again, we have a whole series of growth drivers that we need to go execute against. Those, we are working through as we kind of do the portfolio work. So we'll have to really talk about that more in '24. But, when we get in January, February, I guess the next time we speak with you, we'll be able to give you a lot more detail around that. But I am confident both seeing the size of the markets and our position in those markets. And, and I'm also just confident without having all the plans laid out, but, for it that just more focused execution all the time and all of my experiences I've seen leads to better performance on the revenue side. So without the full numbers kind of ready to talk about, I'm confident in next year.
Luis Visoso: Totally agree. We'll give you more flexibility, with our Q4 earnings. So in a few months, I think Jim mentioned the opportunity is big. The portfolio is right that we already have. Now we just need to be more focused. And as Jim said, we just need to execute. But we think we will. We're doing everything we can to have a very strong 2024. That's our goal.
Richard Davis: And then our last question will be with Jason Bazinet at Citi.
Jason Bazinet: Thanks so much. Appreciate you coming in and making these changes so quickly. I just wondered, there's obviously a wide berth that you have in terms of how the magnitude of the changes that you might pursue in terms of putting the portfolio. Are there any guardrails as you're going through these changes? I.e, no matter what happens, we don't want free cash to go negative or no matter what happens, we don't want EBITDA to go negative. Or is it really, we may have to go through a period that's, more difficult than some of those, key financial metrics that the street cares about because it'll paint a better picture in '24, '25?
James Whitehurst: I mean, I'll start. I mean, frankly, the good news and the things that we're looking at, it's not like we're peeling off businesses that are, highly EBITDA positive because they don't fit. Right. I mean, we I think in a good way, we're investing in a lot of things. And so this is more about looking at kind of peeling off some things that we were doing that that frankly aren't profitable. So I don't think you're going to see a real dip at all, even this quarter, and certainly not as we get into next year. But Luis, you're?
Luis Visoso: Yes, I think the only the only other thing I would add is we're not thinking about a long transition. Right. Once decisions are made, which should be this quarter, we will start implementing this quarter. We'll be 100 percent done next quarter. And that's it. It's not like a business model transition that takes a year or two years or three years to complete. These are things we were planning to do and execute now.
James Whitehurst: And so the one might be a little because we haven't finished it. But I would always I wouldn't think our margins in Q2 would be that different than Q4 next year. Right? I mean, this is a rip off the band-aid reset and then we're going.
Richard Davis: Well, that that wraps it up, Jim. If you want to have some closing, two or two or three say hello and then we'll be done.
James Whitehurst: Yes. So I really appreciate your time. We I just want to emphasize again that there you want to Fred Bluntly. When I first agreed to come in, when I kind of got the call, I thought, OK, this -- this Company has some opportunity. And, I'm sure like a lot of companies, doing too much. And there's some focus. But I have to say, I have become more and more convicted in and excited about the long term growth opportunities of the Company today than I was a month ago. I mean, this really is a very powerful, very defensible moat of technology. We didn't get a chance to go into that. It's valuable in so many places. And it's a matter of really kind of picking, what is the pathway to focused execution, deliver results on one at another, deliver on that at another. So it's but the good news is because of just the nature of the technology and the fact that is a platform business, it's very highly defensible. And again, real time 3D, which one could argue is interactive 3D. We're really the only way to do that across myriad platforms at scale. And when you kind of think about the number of areas that makes sense, whether it is consumer products, companies, whether that's, industrial companies and visualization, obviously in gaming, I feel like we have a number of opportunities. Our key is not that the key is making sure that we build a pathway to profitable growth by executing each of those in the appropriate order so we can continue to deliver, results that you can see and be transparent about it. But, clearly that opportunity is there.
Richard Davis: Great. Thank you all. And we'll see you in future weeks and months and over time. Thank you very much.